Operator: Hello and thank you for standing by. Welcome to Aptar's 2023 Third Quarter Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Introducing today's conference call is Ms. Mary Skafidas, Senior Vice President, Investor Relations and Communications. Please go ahead.
Mary Skafidas: Thank you. Hello, everyone, and thanks for being with us today. Joining me on today's call are Stephan Tanda, President and CEO; and Bob Kuhn, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website under the Investor Relations page. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measure in our press release, which was disseminated yesterday. Please refer to the press release. As always, we will post a replay of this call on our website. I would now like to turn it over to Stephan Tanda. Stephan, over to you.
Stephan Tanda: Thank you, Mary and good morning, everyone. We appreciate you joining us on the call today. I will begin my remarks by highlighting our results for the third quarter. Later in the call Bob Kuhn, our CFO will provide additional details. Starting on slide 3. For the third quarter, Aptar achieved core sales growth of 2% and delivered double-digit EPS growth of $1.39 per share, due to continued strong demand for our proprietary Pharma dosing and dispensing systems as well as our fragrance dispensing technologies. We experienced significant margin improvement in the quarter with an adjusted EBITDA margin of about 22%, a 4-point increase over the prior year's quarter. The margin improvement was driven by a strong focus on cost management across the company and the better mix from relatively faster sales growth in Pharma. In quarter three, robust demand continues for our proprietary Pharma drug-delivery systems, which grew across multiple therapeutic applications, including allergic rhinitis, emergency medicines, central nervous system, therapeutics, nasal saline rinse solutions, eye care and cold and cough as well as asthma and COPD therapies. In the last year, there has been a lot of focus from our shareholder base on sales of our Unidose drug-delivery dispensing system for Narcan and generic naloxone as this emergency medicine has gone over the counter or OTC. We have certainly seen solid growth in this important life-saving application. In addition, we also want to highlight our proprietary bidose dispensing system for J&J's Spravato, which has also been a strong contributor to our growth this year. Recently, a study published by the New England Journal of Medicine outlined the positive benefits for patients using Spravato. This drug targeting treatment-resistant depression in adults is delivered in a bidose liquid nasal free system that underwent numerous human use studies to ensure optimal positioning and consistent dosages are delivered with every administration. The medicine is administered as a nasal spray that is absorbed by the lining of the nasal passages and into the bloodstream. This nasal delivery supports rapid and appreciable absorption into the bloodstream. Relative to an IV formulation, the nasal route of delivery provides a noninvasive and more convenient dosing option for patients and physicians and is associated with the reduced likelihood of dosing errors. We are proud of the role our dispensing systems play in helping making critical medication more easily administered. Nasally delivered therapies for neurological diseases, like depression, is a growing area of focus for our customers. Over the last few quarters, we have talked about our Pharma service offerings. These are a small part of our overall revenue but helped to position us as a partner of choice for Pharma companies large and small. We are very honored that our Pharma service group has been awarded a new contract by the US Food and Drug Administration studying opportunities for low global warming potential propellant solutions for metered dose inhalers. This contract recognizes and reinforces our thought leadership and expertise in the inhalation space and also highlights our focus on sustainability, which we know is a differentiator and competitive advantage. In our Beauty segment, we saw continued healthy demand for our dispensing solutions for prestige and mass fragrance. Demand for fragrance pumps continue to be driven by growth in Europe and Latin America. Sales for our fragrance sampling solutions also grew modestly in Europe. Additionally FusionPKG our full packaging solution provider in North America had strong growth in the quarter when compared to the prior year with its sales pipeline continuing to build. Having said that, Beauty North America overall continues to be substantially below 2019 volumes especially in personal care. However, in recent weeks, we are starting to see a pickup in orders for some end markets as inventories approach normal levels for certain SKUs. While recovery will not be linear, we believe the worst is behind us and look forward to improving dynamics in North America in 2024. Now turning to Slide 4. I would like to highlight a few products and medications that launched in the quarter featuring our technology. In Pharma after a seven-year collaboration with Helion led to the launch of a nasal spray technology with an innovative side push button to activate the spray. This patented intuitive and more consumer-friendly Lateral Control System technology by Aptar a first of its kind features a shorter nozzle, which means more comfort when using the product while the one push button provides more accurate dosing. In addition Aptar's metered dose inhaler valve is featured on the Breyna Inhalation Aerosol the first FDA-approved generic version of Symbicort. In the European beauty market Aptar's fragrance and lotion pumps are featured on Jean Paul Gaultier's Divine brand products by Puig. In Asia, our airless technology is the refillable dispensing solution for a new facial skin care product by the brand Zhiben. Turning to sustainable solutions. We've expanded our sampling portfolio that include mono material paper fragrance sampling which LVMH is now featuring for a top fragrance brand. Finally, our Post-Consumer Recycled Resin pump is the dispensing technology for Estee Lauder's MAC brand foundation in North America. For closures in North America McCormick is now featuring our closure on their new spice package and our snap top dispensing closure for inverted packaging is providing controlled dispensing for SC Johnson's Off! insect repellant lotion in Latin America. As we mentioned at our recent Investor Day we have additional information to share around our focus on footprint rationalization and reduction of manufacturing costs. To that end, we have started a second process with our European and French labor representatives to shut down our closure facility in Poincy France. As we have stated, before these processes take time. We will share more information with you as we can and expect to start realizing savings from this plant closure by mid- to late 2024 and full run rate savings in 2025. Our SG&A as a percentage of sales is on track to be around 16% for the full year 2023. Finally, I would like to touch on an ESG update. Earlier this month, we were recognized by 3BL Media and by ISS ESG for our transparency and performance in categories such as Climate Change Stakeholders and Society Human Rights and ESG Performance for the third consecutive year. We are ranked number 34 on the list of the 100 Best Corporate Citizens. Before I hand the call over to Bob, I also want to highlight that in September we added a new Board member Sarah Glickman the CFO of Criteo. Sarah is a highly accomplished executive with more than 30 years of global financial and deep operational experience in diverse industries with such companies as Novartis Honeywell and Bristol-Myers Squibb. And with that over to you Bob.
Bob Kuhn : Thank you Stephan, and good morning everyone. Starting on Slide 5, I would like to summarize the quarter. Our reported sales increased 7%. When we neutralize for currencies and acquisitions our core sales grew 2% in significant part due to strong demand for our proprietary drug delivery systems, as well as solid demand for fragrance dispensing technologies while the challenging environment for personal care and home care in North America continued in the third quarter. As shown on Slide 6, we reported third quarter adjusted earnings per share of $1.39. This represents a 39% increase over prior year adjusted EPS. We achieved adjusted EBITDA of $193 million, which was an increase of 26% from the prior year's third quarter driven by strong operational performance and ongoing cost management. Turning to some of the details by segment for the quarter, our Pharma segment's core sales increased 8%. Approximately 6% of the continued growth came from increased volumes especially for our proprietary drug delivery systems. Looking at sales in the Pharma segment by market, prescription core sales increased 20% primarily due to continued strong demand for dosing and dispensing technologies, for allergic rhinitis, emergency medicine, central nervous system therapeutics and asthma and COPD therapies. Consumer Health Care core sales increased 14%, driven by higher sales for nasal saline rinse solutions, Eye Care and cough and cold applications. When looking at our injectables division core sales increased 6%. Turning to our Active Materials Science Solutions, core sales decreased 23% of which 17% was due to less tooling revenue as well as a decrease in active vials used for our Diabetes Care products and decreased demand in sales of our products used on probiotics which had experienced rapid growth in the prior year's quarter. Pharma's adjusted EBITDA margin was 35% for the quarter, an improvement of about four points over the same period last year. This also includes start-up costs for the injectables division capacity expansion of approximately $2 million. We expect startup costs in the range of $2 million to $3 million in Q4. Overall our Beauty segment's core sales increased 2%, due to the ongoing challenges in North America. Europe continues to perform solidly with sales and adjusted EBITDA margins well within our long-term target range due to the increased demand for prestige fragrance. Latin America saw a healthy demand for mass fragrance solutions and Asia also saw a slight growth in the quarter. Fragrance solutions for the prestige and mass markets continued to perform well with core sales for these dispensing solutions growing double-digits in the quarter. Looking at the Beauty segment by market Beauty core sales which represents 64% of Beauty segment sales increased 14% driven by higher tooling sales as well as higher sales in both prestige and mass fragrance. Personal Care core sales decreased 15% as lower demand in several end use categories in North America persisted. Europe had modest sales growth primarily due to sales of our products used in Hair Care and Sun Care applications. Home Care core sales decreased 24% due to lower sales in North America across several categories including Air Care and Surface Disinfectants. This segment's adjusted EBITDA margin for the quarter was about 13%. This is more than a 0.5-point improvement over the same period last year. The Closures Segment Core sales decreased 9% compared with the prior year's quarter. Approximately 6% of the decrease for the current quarter is due to lower resin costs. While product volumes improved in Food and especially in Beverage Dispensing closures in the quarter they could not fully offset the decline in volumes for Personal Care and Home Care. Looking at the Closures Segment by market, Food core sales decreased 11%. The decline in sales was driven by lower tooling sales which accounted for 8% of the decrease and pass-throughs of lower resin costs. Beverage core sales increased 3% due to strong sales in Europe which is our largest beverage market and in North America. In the quarter we saw increased demand for bottled water and concentrates. Personal Care core sales decreased 24%, due primarily to lower global demand. In our fourth category which includes Beauty, Home Care and Health Care core sales increased 24% mainly due to tooling sales. The segment's adjusted EBITDA margin was around 15%. This represents a three-point improvement over the same period last year even with a decline in sales, due to our continued focus on cost management as well as the effects of passing on lower resin costs. Our total CapEx spend for the third quarter of 2023 was $76 million with the majority going to our Pharma segment. The three large capital projects are winding down making up about 15% of our total CapEx spend for the quarter with the majority allocated to our injectables capacity expansion. As a reminder our injectables capacity expansion will come online in phases and be ready for commercialization at the beginning of 2025. Reported depreciation and amortization expense increased 9% over the prior year quarter to approximately $63 million or 7% of sales. Slide 7 and 8 cover our year-to-date performance and show the 3% core sales growth and our adjusted earnings per share, which were $3.57, up 22% compared to $2.92 a year ago including comparable exchange rates. Year-to-date cash flow from operations was $356 million, up from $306 million due to the improvements in earnings. Moving to slide 9, which summarizes our outlook for the fourth quarter. We anticipate our strong momentum to continue and expect fourth quarter adjusted earnings per share excluding any restructuring expenses, acquisition costs and changes in the unrealized fair value of equity investments to be in the range of $1.06 to $1.14 per share. The estimated tax rate range for the fourth quarter is 24% to 26%. As a reminder in the fourth quarter, we expect to have a $0.02 to $0.03 impact in start-up costs from our injectables expansion program. Additionally we are expecting some currency tailwinds compared to the prior year. For example, the euro rate for the prior year fourth quarter was 1.02 and our guidance for the coming quarter is assuming a 1.06 euro rate. We have said that roughly for every one point move in the euro rate that equates to roughly $0.02 per share for the full year. So for the coming quarter, we expect to be looking at approximately a $0.02 currency benefit on earnings compared to the prior year due to the euro rate as well as other currency movements. We currently estimate depreciation and amortization for 2023 to be between $240 million to $245 million. Our capital expenditures in 2023 net of any government grants is estimated to be around $300 million, including a capacity expansion investment for our pharma proprietary drug delivery systems. In closing, we continue to have a strong balance sheet with a leverage ratio of 1.6 at quarter end, which allows us to continue to invest in the business, pursue strategic opportunities and continue to return value to shareholders in the form of dividends and share repurchases. In addition to our cash dividend payment to shareholders, which totaled $26.9 million in the quarter, we repurchased approximately 66,000 shares for $8.3 million. At this time Stephan will provide a few closing comments before we move to Q&A.
Stephan Tanda: Thanks Bob. In the first nine months of 2023, we have delivered very strong results and showed exceptional growth during our two biggest quarters quarter two and quarter three. We expect quarter four will continue our trend of double-digit adjusted EPS growth over the prior year period. While quarter four tends to be a smaller quarter for us, we expect our pharma and fragrance franchises to finish the year strong. In the fourth quarter, we expect robust demand for our proprietary pharma drug delivery system to continue. Our fragrance dispensing solutions were finished on a high note for 2023 and we look forward to an improving environment in North America especially for our personal care dispensing solutions as we believe the worst of the destocking will be behind us. As we look ahead to 2024, our proprietary drug delivery systems have seen significant growth. Some of that can be attributed to distribution channels refilling to more normal levels following destocking due to COVID. Narcan and generic naloxone versions going over the counter has also helped spurt our growth this year. While the launch of this new distribution channel will not repeat next year, adoption of this life-saving drug continues to expand. We expect our proprietary pharma drug delivery systems to continue to grow in 2024 within the long-term core sales target of 7% to 11%. Our injectables division will be ramping up new capacity for higher value products through the end of 2024. Over the past year, our dispensing devices for fragrances have also seen tremendous growth. 2023 has been a catch-up year for the fragrance industry that postponed new launches for a number of years due to COVID. We expect core sales in fragrance to continue to grow within our Beauty long-term target range of 3% to 6%. Both our Beauty and Closures segments will benefit from an improving environment in North America as we move post the unprecedented COVID destocking. Therefore, we are energized for the fourth quarter and for 2024. You have seen measurable improvement in our SG&A as a percentage of sales and reduced manufacturing fixed costs, which we expect to continue in quarter four and into 2024. And we are excited about the growth opportunities across each of our segments for next year taking advantage of our increased operating leverage as cost reduction efforts become more visible in the P&L. With that I now would like to open the call for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from George Staphos from Bank of America. Please go ahead.
George Staphos: Hi, everyone. Good morning. Thanks for taking my question. The first one is Stephan and Bob can you talk to -- you mentioned that you're excited about 2024. Are there any of your key end markets or product lines that we should expect will be growing below your long-term target range to the extent that you have any visibility. And should we take from your comments recognizing that it's still early that you expect to see overall earnings growth in 2024. The second question I had during your Analyst Day you cited not only are you going to be trying to reduce SG&A but you have a goal for combined SG&A plus fixed costs within COGS. Where did you perform relative to that metric in the third quarter and how you'll be updating us on your performance there? Thank you.
Stephan Tanda: Hi, George. Thanks for the questions. I mean obviously, we don't give guidance for 2024. But to what you just heard me say that we are energized for 2024. I mean when you think about it our proprietary dispensing devices, yes, grew double-digit, but we expect them to continue to grow within the target range next year. Injectable will not have the ERP issue repeat. For active materials the tough COVID comparison was washed out and we see active materials return to growth. Digital health is still a drag, but will be less of a drag. And fragrance we expect to continue to grow albeit at lower rates as the comparisons get tougher and we fully expect North America to normalize and we see some green shoots in the fourth quarter. And China will -- or China is -- albeit slowly is growing again and progressing. So that all adds up to certainly an expectation of growth in line with our growth targets. And, yes, given all the cost work we do that -- with the increased operating leverage that should result in solid earnings growth without giving a guidance for next year. Now on your second question you see the significant EBITDA margin expansion across the board. All three segments have seen EBITDA margin expansion. And that, of course, comes from higher gross margins from lower fixed cost in the factories and we are by far not done. So what you see now is things that we started a year ago starting to bleed into the P&L. As we discussed previously the actions in France that we started a year ago only are being implemented now. And now we start the second tranche which is the shutdown of the Poincy site, which you will only see in the P&L second half of next year. These things have a long lead time. So we certainly expect to continue to work and make sure that we have good operating leverage and strong top-line growth leads to even stronger bottom line growth. 
George Staphos: So just kind of a quick follow-on and I appreciate all that. From the Analyst Day deck I think you said SG&A and fixed COGS as a percentage of sales you're going to drop that about two points from 2021 to 2025. Where does that ratio stand right now relative to the starting point? Thanks, guys. I will turn over.
Stephan Tanda: Well this is not something we disclose externally. What we disclose externally is the SG&A ratio and that we expect to end the year at 16%. Quarter three was actually lower. But given that we always have the equity rewards in the first quarter it averages out to be 16% for the year and 16.1% for Q3 and we expect to be at 16% year-to-date by the time we finish the year. But overall, George I think we can say that we are tracking to where we expected to be for the combined metric.
George Staphos: Okay. I will turn it over. Thank you, guys.
Operator: Our next question is from Gabe Hajde from Wells Fargo Securities. Please go ahead.
Gabe Hajde: Stephan, Bob, Mary, good morning. Maybe just to dial in a little bit -- saying give and take a mile. In the Pharma segment can you just remind us I think there was around, if we include start-up costs $25 million of ERP and start-up in 2023. Does this all go away next year? And then should we also assume contribution from the growth that we will get in injectables or anything else that we need to be mindful of? And then given the I guess the -- maybe a little bit more rich mix of Rx versus some of the other elements within Pharma would you expect I guess moderation adjusting for those other start-up costs in ERP in profitability in Pharma, or how should we think about that?
Stephan Tanda: Yeah. I mean, on the first question clearly the ERP cost especially in the first two quarters and especially in the first quarter will not repeat. Now, we continue to build out the Granville two factory and that will have equipment and trial productions and labor presence and no revenue for that. So we will continue to have if you want start-up track we don't quantify it yet. We'll probably give that when we do Q4. It will be a bit less but still there will be something next year. But compared to the ERP cost it's obviously much smaller. Then on your mix question yes if injectables and active materials grow much faster compared to Rx and CHC you will have a negative mix effect. On the other side, as we just said you will have costs that go away with the ERP system. So we're not going to give you the end result of that in advance here as it plays out plus we have cost work again across the board to do. I don't know Bob if you want to add anything.
Bob Kuhn: Yes. The only thing I would say is I think Gabe our number on the injectables ERP and start-up costs for the year is probably closer to $20 million and I think you mentioned $25 million and we'll have another couple of pennies or $2 million $2 million to $3 million in Q4 of this year.
Gabe Hajde: Okay. And then switching gears, I guess to redeployment and/or cash generation. I think you talked about CapEx starting to migrate back closer to D&A. I just want to kind of confirm that. And then as you look across -- I mean, our model has been shaking out around 1.4, 1.5 times levered at the end of this year. Anything in terms of the M&A pipeline that we should be thinking about, or would the preferred avenue be kind of dividend and repo as we look into 2024 and beyond.
Bob Kuhn: So we're still a little bit above Gabe on the CapEx. So for the quarter we spent about $76 million. Most of the amount above the D&A which is about $63 million in the quarter is really coming from the run-out of the three big projects primarily the injectables expansion.
Stephan Tanda: And I would say obviously you see the growth that we have in Pharma. Those are not -- we will continue to make sure that we have capacity available especially in life-saving medicines. We will not expand capacity to get to certain CapEx numbers especially in these areas that go double digit at the moment.
Bob Kuhn: Yes. And then I think on your comment on the deleveraging by year-end so we're about 1.6 so we were able to take it down from the 1.8 that we were and that's primarily due to a really strong cash generation -- free cash flow generation in the quarter which was about $97 million compared to $55 million last year in the third quarter. So year-to-date we're about $124 million, and again, we're continuing to focus on working capital as well as the margin improvement that you've seen in Q3.
Stephan Tanda: Now with respect to your M&A question, we continue to have an active M&A pipeline and look at opportunities along the lines that we have done before; technologies geographic opportunities venturing type investments. So we continue our M&A activity unabatedly. For every 10 deals you study or work on maybe one happens. Clearly the high interest rates gives the sponsors a pause, which may help us a little bit because we never look at these high leverage ratios. On the other hand, we also recognize that our cost of capital has gone up with the higher interest rates. So we continue to be a disciplined player in this game.
Gabe Hajde: Thank you.
Operator: Our next question comes from Ghansham Panjabi from Baird. Please go ahead.
Ghansham Panjabi: Good morning, everybody. On the Rx growth of 20% and OTC of 14% in 3Q, at least part of that seems to be driven by new products and related inventory build for products such as Narcan. Can you help us dimensionalize the potential headwind from a volume standpoint as you cycle through the inventory build comparisons thinking after 2024, or do you not see that as material at this point? 
Stephan Tanda: Well, certainly, we don't see that to keep growing at these rates. On the other hand, there is not a day that goes by where we don't pick up personally reports of the non-traditional channels continuing to expand, whether it's school, whether it's communities, whether it's fire department. So yes, the OTC channel has added pipeline fill. But Narcan is increasingly pervasive and that we see continue some growth there plus given that the nasal delivery route is increasingly seen as an attractive shortcut to the brain if you want, we also see the pipeline continue to fill. So of course, those double-digit or high double-digit growth rates will not continue but we also don't see a significant decline or anything like that but more in line with our Pharma growth rates.
Ghansham Panjabi: Okay. And then for my second question on personal care which seems – it seems awfully weak across the board. Is there a category or a customer mix issue that is weighing on this segment for you? And then for fragrance, which the whole supply chain ecosystem has called out as strong, how sustainable do you think this is in context of uneven consumer spending that we're seeing in so many other categories? 
Stephan Tanda: It's really completely different dynamics. In personal care it is predominantly the US destocking issue. And we see that running its course. I have several anecdotes where customers say "Hey we're still fine leave us alone" and then the next week they call out and they are oh my God, we are out of stock for this item and are please we need it tomorrow. That hasn't happened in the past few quarters, it's happening now. So it seems to me that things will return. I think we've said before certainly in personal care closures, home care closures we had some share loss. On the other hand in other categories we had share gains. But certainly, North America whether it's personal care home care closures personal home care that's still accounted for in Beauty has been a challenge for us. And on the other hand what we're signaling from everything we see that will have run its course by the end of the year. On fragrance, it's a completely different dynamic. Fragrance is really driven by launches and then flankers. And clearly brands are eager to continue to get their franchises out there. We also have gained some share there. And that's without China really getting back into direction and we see that happening also now. So again, we see a normalization of growth but not going the other way.
Ghansham Panjabi: Thank you.
Operator: Our next question is from Daniel Rizzo of Jefferies. Please go ahead.
Daniel Rizzo: Good morning. You mentioned the strength in prestige fragrances. I was wondering, if you have significant exposure to prestige beauty and if that's holding up well or it's less exposure or it's just not doing as well as fragrance is?
Bob Kuhn: If you referred to the prestige skin care, we did grow there, but the majority of our growth there came from some tooling sales that we had in the quarter, but overall product sales were still very, very good.
Daniel Rizzo: Okay. And then, you mentioned that you're working to close the plant in France. And I know it's kind of a process, but I wonder once that process is complete, have you quantified what the savings will be on an annual basis at the end of '24 or '25 or whenever it's complete?
Stephan Tanda: No, we have not. And for the simple reason that that will be detrimental to the negotiation process. So again, this is a unique in the world as far as I know process that is very demanding on everybody in the process and we can only -- we'll give you the answer once it's done and agreed and signed. The only comfort I would take is as compared to the previous process where you need to negotiate both the future state and the way to get there and the different steps and how you get there is the voluntary process and the treatment and so on. When you close a plant, the future state is not much to be negotiated. So it's more of how you're going to treat the employees. That's why we say, we think by mid next year, you will see the benefits of that closure. But it's the only closures facility that we have in France.
Daniel Rizzo: Thank you, very much.
Operator: [Operator Instructions] As we have no further questions on the call, I will hand it back to Mr. Tanda to wrap up.
Stephan Tanda: Great. Thanks for your questions. Let me just reiterate, we are [Audio Gap] as well as for 2024. Many of the measures we have taken over the past years are now progressively coming to fruition and you are starting to see them in our results, whether it's the much stronger execution, the much more capable and modernized and efficient asset base, growing pipeline and customers who are returning if not being very exciting about our innovation capability. And last not least, the very vigorous and multiyear systematic cost focus. All of these improvements are behind the improved operating leverage that you see and the double-digit EPS growth trajectory. So, as you look into the future, when you think about all the puts and takes we've talked about some of them, the proprietary drug dispensing systems will continue to grow after a period of double-digit growth, but will remain inside our growth targets for Pharma overall to the best of our knowledge. Injectable ERP story, of course will not repeat, that's up and running and we see a strong pipeline and a growing capacity in injectables. The active material business, the COVID -- difficult COVID comparison is washing out and we see that business returning to growth. And lastly in Pharma, the digital health business is becoming less of a drag over time. Fragrance will continue to grow not at double digit, but in line with our Beauty overall growth targets and the drag from North America will abate both for Beauty and for Closures. And let's not forget that the largest market for Beauty China is recovering and is coming back. At the same time, SG&A is coming down as a percentage of revenue and we give you a view on the further cost actions. And of course there are additional activities ongoing, boosting our global talent centers and taking care across differentials. Having said all that, I wish everyone in the -- especially in the US a good Thanksgiving and everybody else a good rest of the year and the relaxing holiday season and we see all of you on the road. Thank you.
Operator: This concludes today's conference call. Thank you all very much for joining. You may now disconnect your lines.